Operator: Good afternoon, ladies and gentlemen. Welcome to the Century Communities Third Quarter 2025 Earnings Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question and answer session. If at any time during this call you require immediate assistance, please press 0 for the operator. This call is being recorded on Wednesday, October 22, 2025. I would now like to turn the conference over to Tyler Langton. Please go ahead.
Tyler Langton: Good afternoon. Thank you for joining us today for Century Communities earnings conference call for the third quarter of 2025. Before the call begins, I would like to remind everyone that certain statements made during this call may constitute forward-looking statements. These statements are based on management's current expectations and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those described or implied in the forward-looking statements. Certain of these risks and uncertainties can be found under the heading Risk Factors in the company's latest 10-K as supplemented by our latest 10-Q and other SEC filings. We undertake no duty to update our forward-looking statements. Additionally, certain non-GAAP financial measures will be discussed on this conference call. The company's presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Hosting the call today are Dale Francescon, Executive Chairman; Rob Francescon, Chief Executive Officer and President; and Scott Dixon, Chief Financial Officer. Following today's prepared remarks, we will open up the line for questions. With that, I'll turn the call over to Dale.
Dale Francescon: Thank you, Tyler, and good afternoon, everyone. In the third quarter, we performed well in a challenging environment and generated solid financial and operational results, meeting or exceeding the expectations detailed on our second quarter conference call. We delivered 2,486 homes, hitting the high end of our guidance, and our adjusted homebuilding gross margin of 20.1% was up slightly on a sequential basis as reductions in our direct costs offset higher incentives in the quarter. We continue to control our fixed G&A costs and successfully refinanced our 2027 senior notes with the offering of our 2033 notes at a slightly lower interest rate. We also repurchased an additional $20 million of our shares this quarter, bringing our year-to-date repurchases to 6% of our shares outstanding at the beginning of the year. While homebuyer demand has been more muted this year due to weaker consumer confidence, we continue to believe there is pent-up demand for affordable new homes supported by solid demographic trends. Buyers remain hesitant and cautious given the current level of economic uncertainty but still have the desire to own a new home. As a result, we expect that any interest rate relief and improvement in consumer confidence will start to unlock buyer demand. Before turning the call over to Rob, I wanted to briefly talk about our current strategy and some recent achievements. While we will remain disciplined in slower markets like we are experiencing now, we are still positioning the company for future growth as demonstrated by our expectations for our 2025 year-end community count to increase in the mid-single-digit percentage range. As we have said in the past, we expect this growth to come primarily from increasing our share within our existing markets. We currently hold top 10 positions in 13 of the 50 largest U.S. markets, with a goal of further increasing this penetration. We have also continued to invest in people, processes, and systems that will drive top and bottom-line improvements going forward. And we have made significant progress even in this difficult environment. While the operational benefits of our strategy are already apparent, as Rob will discuss, some of the financial benefits have been clouded by the higher incentives we've been offering this year and the impact of lower deliveries on our fixed G&A. Once the market begins to normalize, we are confident the value of these investments will be fully realized. I'll now turn the call over to Rob to discuss our operations and land position in more detail.
Rob Francescon: Thank you, Dale, and good afternoon, everyone. We are encouraged by the operational improvements that continue to accrue at the company and believe Century is well-positioned to further leverage these gains as the market normalizes. These improvements run throughout the organization, including continued success in reducing our costs in the third quarter. Our direct construction costs on the homes we delivered are down 3% on a year-to-date basis. Through the third quarter, we have not seen any material increases in direct costs from tariffs and do not expect any impacts in the fourth quarter given the price protection agreements with our preferred supplier partners. During the third quarter, our cycle times also continued to improve on both a year-over-year and sequential basis and currently sit at an average of 115 calendar days, with one-third of our divisions at 100 calendar days or less. Our customer satisfaction scores are at all-time highs, which leads to more referrals for both homebuyers and brokers as well as lower warranty costs. We have and continue to make meaningful improvements to both cost structures and cycle times and are proud of the best-in-class operations our teams have built. Our third-quarter net new contracts of 2,386 homes declined by 6% on a sequential basis, better than our historical average decline of 9% from 2019 through 2024. We saw a month-over-month increase in our web traffic from June to September, and in line with typical seasonality, our net orders and absorption rates were the lowest in July, with both August and September levels ahead of July. So far in October, our orders are seasonally consistent with August and September levels. Even with headwinds from the market and seasonal pressures, our incentives on closed homes in the third quarter came in lower than the 100 basis point increase we forecasted on our second quarter conference call and averaged roughly 1,100 basis points in the third quarter of 2025. Looking forward, we continue to expect incentive levels to be the largest driver of changes to our gross margins in the near term, given our success in managing costs. We currently expect incentives to increase by another 100 basis points in our fourth-quarter deliveries as we compete with other builders for year-end closings. In the third quarter, we started 2,440 homes and, similar to the past several quarters, have continued our focus on maintaining an appropriate level of spec home inventory by generally matching our starts with our sales. Our third-quarter ending community count of 321 communities increased by 5% on a year-over-year basis. We continue to expect our year-end 2025 community count to increase in the mid-single-digit percentage range, which, coupled with our 28% year-over-year growth for the full year 2024, will position us well for the upcoming spring selling season and provide a strong base for future growth in the years ahead. On the land side, our finished lot costs on the homes we delivered in the third quarter increased in the mid-single-digit range on both a year-over-year and sequential basis, and we expect our finished lot costs in the fourth quarter to be roughly flat on a sequential basis. We ended the third quarter with over 62,000 owned and controlled lots. Our owned lot count has remained relatively steady since the third quarter of last year. We have remained disciplined on the land front and continue to underwrite deals to current market assumptions. Land sellers are adjusting terms, and we are starting to see some in our raw land and development costs. I also want to briefly talk about a trend that we have recently seen with mortgages in our financial services business. In the first quarter of this year, adjustable-rate mortgages accounted for less than 5% of the mortgages that we originated. In the third quarter, however, ARMs accounted for close to 20% of the mortgages we originated. Given the length of time that the average first-time buyer stays in their home and the lower interest rates of ARMs, they can make sense for many of our homebuyers and help partially address the market's affordability challenges. We are pleased with the results we achieved in the third quarter. Our focus on cost reductions and controlling increases in incentives allowed us to improve our homebuilding gross margin as well as pretax and net margins on a sequential basis. Our team has done a good job operating within a difficult market environment, and I want to thank them for their hard work and dedication. I'll now turn the call over to Scott to discuss our financial results in more detail.
Scott Dixon: Thank you, Rob. In the third quarter, pretax income was $48 million, and net income was $37 million, or $1.25 per diluted share, up 710% respectively, on a sequential basis. Adjusted net income was $46 million, or $1.52 per diluted share. EBITDA for the quarter was $70 million, and adjusted EBITDA was $82 million. Sales revenues for the third quarter were $955 million, down 2% on a sequential basis. Our deliveries of 2,486 homes declined by 4% on a sequential basis, while our average sales price of $384,000 increased by 2% on a quarter-over-quarter basis, benefiting from a higher percentage of deliveries from our West and Mountain regions and a lower percentage from Century Complete. At quarter-end, our backlog of sold homes was 1,117, valued at $417 million, with an average price of $373,000. In the third quarter, adjusted homebuilding gross margin was 20.1%, compared to 20% in the second quarter of this year. GAAP homebuilding gross margin was up 30 basis points, 17.9% versus 17.6% in the second quarter. The improvement of our third-quarter gross margin versus second-quarter levels was driven by lower direct costs offsetting higher incentives and finished lot costs. Purchase price accounting associated with our two acquisitions in 2024 reduced our third-quarter 2025 gross margin by 30 basis points. We would expect purchase price accounting to have a similar impact on our homebuilding gross margin in 2025. We took an inventory impairment charge of $3.2 million in the third quarter related to several closeout communities. The $6.1 million of other expense this quarter was comprised of $5.2 million with the abandonment of lot option contracts and $1.4 million for the loss of extinguishment of debt, with a partial offset from other income. For the fourth quarter of 2025, we expect our homebuilding gross margin to ease on a sequential basis up to 100 basis points compared to our third quarter, primarily due to higher levels of incentives. SG&A as a percent of home sales revenue was 12.6% in the third quarter and benefited from ongoing cost reduction efforts. Assuming the midpoint of our full-year home sales revenue guidance, we expect our SG&A as a percent of home sales revenue to be roughly 13% for the full year 2025, with SG&A as a percentage of home sales revenue of 12.5% for the fourth quarter. Revenues from financial services were $19 million in the third quarter, and the business generated pretax income of $3 million. We currently anticipate that the contribution margin from financial services in the fourth quarter will be similar to our third-quarter results. Our tax rate was 21.8% in the third quarter of 2025, which was driven by 45 percentile tax credits received in excess of previous estimates. We expect our full-year tax rate for 2025 to be in the range of 24.5% to 25.5%. Our third-quarter 2025 net homebuilding debt to net capital ratio improved to 31.4% compared to third-quarter 2024 levels of 32.1%. Our homebuilding debt to capital ratio also improved to 34.5% in the third quarter compared to year-ago levels of 35.8%. We ended the quarter with $2.6 billion in stockholders' equity and $836 million of liquidity. During the quarter, we completed a private offering of $500 million of 6.58% senior notes due February 19, 2033, with the proceeds being used to redeem our $500 million 6.5% senior notes due 2027. With this transaction, we have no senior debt maturities until August 2029, providing ample flexibility with our leverage management. During the quarter, we maintained our quarterly cash dividend of $0.29 per share and repurchased 297,000 shares of our common stock for $20 million at an average share price of $67.36, or a 23% discount to our company record book value per share of $87.74 as of the end of the third quarter. Assuming similar attractive valuations, we expect to continue repurchasing our shares in the fourth quarter. Through the first nine months of the year, we have repurchased 1.9 million shares, or 6% of our shares outstanding at the beginning of the year. Turning to guidance, we are narrowing our full-year 2025 home delivery guidance to be in the range of 10,000 to 10,250 homes and home sales revenues to be in the range of $3.8 billion to $3.9 billion. In closing, our healthy balance sheet allows us to both return capital to our repurchases and dividends, as well as continue to invest in our business to generate future growth. We believe we are well-positioned to navigate the current headwinds facing the market and prosper when the market rebounds. We remain focused on our strategy of deepening our share in our existing markets, growing our community count, lowering our direct costs and cycle times, and maintaining an adequate supply of land while controlling our finished lot comps. With that, I'll open the line for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. Should you have a question, please press the star followed by the one on your touch-tone phone. You will hear a prompt that your hand has been raised. Should you wish to decline from the polling process, please press the star followed by the two. If you are using a speakerphone, please lift the handset before pressing any key. One moment, please, for your first question. Your first question comes from Alex Rygiel with Texas Capital. Please go ahead.
Alex Rygiel: Hey, Alex. Can you hear us, Alex?
Tyler Langton: Yes, I can. Sorry about that, guys. Appreciate it. As it relates to your adjusted gross margin that came in a bit above your guidance, was this more due to sort of prudent cost controls? Or was it due to, you know, incentives to some of the new sales?
Rob Francescon: Yeah, Alex, great question. A handful of factors obviously running through that line item. I think we were very pleased with the continued success that we've seen on the direct cost side in terms of sticks and bricks, not only in the third quarter, but really earlier in the first and second quarter as well. So we really saw some of that benefit come through in the third quarter. I think in our prepared remarks, we mentioned that from a year-to-date perspective, we're down 3% on the direct cost. We did see and anticipated that we would see some additional pressures from a competitive standpoint on incentives, that we certainly did see that during the quarter. I believe we were up about 50 basis points on incentives or so. But really, it was moderated by the cost savings that came through the P&L during the quarter. So we were pleased with that result. Our teams have been doing tremendous work really to get as much cost out of our homes as possible as we navigate the current environment.
Alex Rygiel: And then secondly, you brought up the shift here in the buyers' use of adjustable-rate mortgages. Can you talk about how that might change going into the fourth quarter and talk about how that sort of impacts your business? Are they generally more profitable, less profitable, the margins a little bit better or less, and so on?
Rob Francescon: Yes, Alex, the way we really look at it is it's a product that has certainly continued to gain wider consumer acceptance this year. Especially for our buyer type, from a first-time homebuyer perspective, really when you look at historical trends in terms of how long they're in the home, there's not a lot of need for us to buy down a fixed rate for a thirty-year period of time. So it allows us to get a buyer into a home that maybe a little bit of a lower rate initially, go ahead and buy down that rate and provide that really exceptional benefit to the buyer from a monthly payment perspective, but not need to do it over the entire thirty-year term. So something that we're excited to see the consumer continue to have some acceptance with. We're seeing acceptance on 7/1 ARMs, on 7/6 ARMs as well as 5/1 ARMs. So really across the different opportunities that are out there, we're certainly seeing good momentum. A little difficult to tell what that will look like in Q4, but I would expect it to continue to be a meaningful part of the loans that we're originating with our financial services side.
Alex Rygiel: Thank you very much.
Rob Francescon: Absolutely.
Operator: Your next question comes from Rohit Seth with B. Riley Securities. Please go ahead.
Rohit Seth: Hi. Thanks for taking my question. Execution in the quarter, guys. On the community count guidance, you mentioned if I heard this correctly, the community count going up mid-single digit by year-end. Is that right?
Rob Francescon: That's correct. That's a year-over-year from beginning of the year to end of the year number, so around that 5% mark year-over-year. So that does imply a significant ramp-up in the fourth quarter. A pretty sizable one. Can you help me bridge that?
Rohit Seth: Yeah. Correct. And it's, you know, when that number specifically isn't ending, community counts and not necessarily the average during the quarter? And it's something that we've been monitoring really throughout the year and been pretty consistent with anticipating those communities continuing to come online.
Rohit Seth: Okay. Absorption rates are also, I guess, pretty good, sequentially into the quarter. Just maybe any color on what you're seeing in the consumer side and how the consumer is behaving? You did mention that didn't need as much incentives in the quarter, but then you're raising incentives in the fourth quarter. And so just help me understand what's happening on the consumer level.
Rob Francescon: Well, we're still seeing a very uncertain consumer at the entry-level price points that we serve. And if we look at the fourth quarter, the reason we're putting that out there that it could be up another 100 basis points as all the builders compete for year-end closings. We just think that there's going to be more incentives in the market. But generally speaking, from a consumer standpoint, the entry-level consumer has been the hardest hit along the chain of the various price points. And we're hopeful that going into next year that starts to settle down a little bit. But just based on some of the uncertainty out there, people are a little more cautious right now.
Rohit Seth: Understood. Okay. Alright. I'll pass along. Thank you.
Operator: Thank you. Your next question comes from Natalie Kulzicker with Zelman Associates. Please go ahead.
Natalie Kulzicker: Hey. Congratulations on a good quarter. I wanted to drill in a bit more on the SG&A upside you saw this time around and what drove your cost lower year-over-year. Is it operational efficiencies that you've been working on in the back end, or is it, you know, through maybe headcount reductions, which we've heard in the past? And just wanted to get your thoughts on what would be a sustainable rate for this going forward.
Scott Dixon: Sure. Absolutely. Let me touch on a handful of things, and this is Scott. So really, when we look at the SG&A line item, it's certainly been, as we've mentioned on previous calls, a pretty big focus area for us this year just given overall market and the tightening on the consumer side. So we have discussed at various points in time this year various different cost control activities that we've initiated, and we do believe that we're seeing some of the benefits of those coming through here in the third quarter. Those kind of are across the board from back-office efficiencies to ensuring that our headcount is really where we think it needs to be to support the current organization. Some additional compensation-related benefits that came through the quarter as well that are in there. And then when we look at go forward, we have given some specific outlines in terms of where we anticipate the fourth quarter to come in at. There's a handful of things that could potentially drive the numbers. From a fourth-quarter perspective, we're looking at about 12.5% at the midpoint of our guide. It does assume continued use of broker commissions as well as potentially utilizing a little bit more on the advertising line just given the competitive market set that's out there. So a line item that we're continuing to focus on to ensure we're as efficient as possible.
Natalie Kulzicker: All right. Got it. And one more for me. You drill in a bit more on the lots that you walked away from during this quarter? Are you pretty sizable similar to the second quarter as well? Like, maybe about, like, what year these communities set to come online and, you know, what stage of, like, due diligence they were in.
Scott Dixon: Yeah. So as we mentioned in the prepared remarks, we're underwriting to current market conditions. So as we look at that, our owned lots have remained fairly steady for some period of time right now at just under 37,000. But our control lots have changed. We still have almost 26,000 uncontrolled lots. But that has come down, as you mentioned. And the vintage of those, a lot of those would have been near-term projects that just didn't think they fit the underwriting today. And so those were positions we exited. And so I wouldn't say that we had necessarily a larger spike in Q3. This is something that's kind of been going on for the most part of '25. And as we look going forward, we're still looking to grow in our various markets, have plenty of land that's owned on our balance sheet to handle us over the next couple of years. But as we look at projects, we're looking for things, projects that would come on potentially a little bit later in the timeframe as opposed to immediate.
Operator: Got it. Thank you. Please press 1. The next question comes from Michael Rehaut with JPMorgan. Please go ahead.
Andrew Azzi: Hi, everyone. This is Andrew Azzi on for Michael. Congrats on the quarter. Just wanted to touch a little bit on the order ASP. Looks like there was a little bit of a sequential lift. Would love to just get some more context on that number. Was that driven more so by incentives, or were there any mix dynamics that might have driven that improvement?
Scott Dixon: Yeah. Andrew, thanks for the question. Really, from an ASP perspective, any volatility that we're seeing currently within various different metrics is a little bit more driven by mix. The incentives commentary that we walked through in our prepared remarks, while we certainly have some regions that may be a little bit higher on the incentive, from a trend perspective, it's fairly consistent across the board. So what you're seeing on the ASP is really a little bit more driven by mix. For instance, on the delivery side, we're a little higher here in Q3 than we had been in Q2. And a lot of that is just a little bit more from the West and Mountain regions coming through this quarter as compared to our Century Complete business line.
Andrew Azzi: I appreciate that. And then sorry. I didn't mean to cut you off if I did, but just maybe moving on to kind of the tariff impact, I believe you said earlier in your prepared remarks that there isn't really an expected impact in 4Q. I was wondering if there's any way you can kind of size or estimate maybe an impact towards next year, or is it a little bit too early? Would love to hear your thoughts there.
Scott Dixon: Yeah. It's really too early to tell for next year. It's obviously a fluid environment as it relates to the tariffs. But for Q4 and historically, we have not had an impact this year. But going into next year, it's really too early to say exactly what an impact could be.
Andrew Azzi: Got it. I appreciate that. I'll pass it on. Thank you.
Operator: There are no further questions at this time. I will now turn the call over to Dale Francescon for closing remarks. Please continue.
Dale Francescon: To everyone on the call, thank you for your time today and interest in Century Communities. To our team members, thank you for your hard work and dedication to Century and commitment to our valued homebuyers.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.